Operator: Welcome to the Brookfield Infrastructure Partners’ 2016 Second Quarter Conference Call and Webcast. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] And at this time, I'd now like to turn the conference over to Melissa Low, Vice President, Investor Relations and Communication. Please go ahead, Ms Low.
Melissa Low: Thank you, operator, and good morning. Thank you all for joining us for Brookfield Infrastructure Partners' second quarter earnings conference call for 2016. On the call today is Bahir Manios, Chief Financial Officer, and Sam Pollock, Chief Executive Officer. Following their remarks, we look forward to taking your questions and comments. And at this time, I would like to remind you that in responding to questions and in talking about our growth initiatives, and our financial and operating performance, we may make forward-looking statements. These statements are subject to known and unknown risks, and future results may differ materially. For further information on known risk factors, I would encourage you to review our Annual Report on Form 20-F, which is available on our website. With that, I would like to turn the call over to Bahir Manios, Bahir?
Bahir Manios: Thank you, Melisa. And good morning, everyone. In the second quarter we maintained the great momentum that we started the 2016 fiscal year with. We generated funds from operations or FFO of $230 million, or $1 on a per unit basis which is an 11% increase over the prior year. These results were driven by solid performances for most of our businesses in particular our energy operating group. While we are pleased with our financial results to date, we believe that we are on the cuts for further significant growth. One contributed to this growth will come from a large portion of our capital backlog that should be commissioned and online over the next few quarters. In addition, for the past 12 months we've maintained substantial liquidity on our balance sheet in anticipation of executing a number of investment opportunities. We are now deploying that capital into several outstanding investments. We've recently closed two transactions in the transport and energy sectors deploying $310 million. Furthermore, this month along with our partners we are closing on acquisition of Asciano's port business. And lastly, we are in exclusive negotiations to make investments in Brazil's gas and electricity transmission sectors which will meaningfully expand our utilities operating group. We expect all of these initiatives to generate meaningful growth in our FFO per unit. Since we last wrote to you the most significant and unexpected event to take place was the United Kingdom's referendum vote to leave the European Union. While most markets have rebounded quickly from the initial shock, a number of questions remained unanswered. And we anticipate a period of uncertainty over the next three years while the UK and EU sort out their relationship. As long term value investors, we've experienced in managing and prospering during periods of economic uncertainty. Our believe is that the UK will continue to be in an appealing country to invest in given its excellent rule of law, its culture that respects capital, favorable tax and regulatory regime for foreign companies and its central location globally. Consequently, we will monitor the investment landscape for mispriced opportunities should investors pull away from the market temporarily as these situations can often be used as good entry points to earn greater returns on capital than one might have otherwise earned in a normal environment. In the meantime, we are confident that our current UK business will navigate well through these near term uncertainties given the highly regulated and contractual nature of our operations. From a currency perspective, we hedged entire value for sterling denominated investments ahead of the Brexit vote through a combination of FFO and balance sheet hedges. The FFO hedges are matched to estimated cash flows from the businesses over the next two years. Our balance sheet hedges were designed to protect our investment values by effectively locking in the present value of the future cash flow streams that our businesses are expected to generate over the long term at the hedge grade. So with that as an overview I'll now take you through our financial results and operating performance for our various operating segments. And then conclude my remarks by touching on a few corporate matters that we are pleased to report on. First off on financials results and specifically our utilities business generated FFO of $100 million for the quarter, an increase of 8% from the prior year. These results were driven by yet another strong period of connection activity at our UK regulated distribution operation, incremental earnings on growth capital commissioned into our rate base and inflation indexation across a number of our businesses. Our UK regulated distribution operation continues to report exceptional results driven by increased year-over-year connections. In the first half of the year, we more than doubled our fiber connection sales compared to the previous period, largely as a result of the increased market demand for our ultra fast broadband connectivity solutions. Fiber connections are currently a small component of our broad product mix within the business. However, at the current level of connection activity, fiber to the home sale should be a more meaningful contributor to the business going forward. So far this year we also completed the adoption of nearly half of the 700,000 smart meters from the contract we were awarded last quarter. Subsequent to quarter and our Chilean transmission business raised $350 million of 12.5 year bond at all in-rate of 3.875%. This was one of the lowest rates ever achieved for a US Dollar bond by a power and utility issuer in the region. The proceeds of this issuance will be used to repay upcoming maturities and fund future growth projects. Our transport segment generated FFO of $102 million in the second quarter, slightly lower than the $104 million recorded in the prior year. Our results benefited from higher tariffs across the majority of our operations, greater volumes at our rail logistics business in Brazil, strong light vehicle traffic on our Chilean toll roads and cost savings at our Australian rail operation. Unfortunately, these positive factors were offset by $8 million of foreign exchange conversion to U.S. dollars, lower vehicle traffic in our Brazilian toll roads business and the impact of tariff relief that we extended to one of our clients in Australia Our energy segment performed very well, generating FFO of $43 million in the second quarter, compared to $23 million last year. This improvement primarily reflects a higher contribution from our North American natural gas transmission business and a better spread environment at our gas storage business. The commissioning of several organic growth initiatives in our district energy operations also added to results in the quarter. The improvement in our North American natural gas transmission operating results reflects our increased ownership in the business. The impact of de-leveraging and contributions from new contracts. The backlog, its expansion projects in the business is robust. The most eminent is the Chicago market expansion which entails the construction of additional compression facilities on our Gulf Coast line. This project should add long-term contracted capacity into Chicago from our existing interconnection with Rocky Express pipeline. We plan to invest an additional $80 million or $40 million at our share and expect the project to be complete by year end. We've also completed the first phase of our southbound Gulf Coast reversal project and we expect to see further expansions for the business associated with extensive development of natural gas pipeline infrastructure into Mexico in the 2017 and 2018 timeframe. Our French communications infrastructure business generated FFO of $19 million, which is relatively consistent with the prior year. From an organic perspective, we've been actively pursuing a number of opportunities to expand our network in France. During the quarter we agreed to a tuck-in acquisition of a small communication infrastructure business which will be funded with cash retain in the business. We are also participating in a French government led initiative to provide lower population density areas in France with access to ultra fast broadband through the deployment of fiber to the home networks. Investments in these fibers to the home networks present a unique opportunity to our business to leverage its existing assets and technical expertise, operating a high speed fiber backbone. I'd now like to report on two corporate matters that were both recently approved by our Board of Directors. First off and just in our distribution levels, given our strong performance during the first half of the year and the significant amount of growth opportunities that we are currently progressing which Sam will be discussing in his remarks, we are pleased to announce that the Board of Directors has approved a distribution increase of 3.5% commencing with the distribution schedule to be paid on September 30. Combined with the increase announced in February, our quarterly distribution has grown by 11% on a year-over-year basis, which is consistent with the guidance that previously provided of 11% to 13% growth that was contingent on achieving certain capital deployment targets. The Board of Directors will review our distribution level again in the first quarter of 2017. And should we continue to execute on our current growth initiatives as anticipated, we believe that our next increase may be at the higher end of our annual distribution growth target. We also announced today a three-for-two unit split of Brookfield Infrastructure’s outstanding units. The split will be effective on September 14 for unitholders of record at the close of business on September 6. We think that this unit split will ensure that our units remain accessible to individual unitholders and to improve the liquidity of the units. It is important to note that this unit split will not dilute our existing unitholders’ equity and will not be taxable in Canada or the United States. So with that thank you and I'll turn the call over to Sam.
Sam Pollock: Thanks, Bahir. And good morning, everyone. In my remarks, I'll make a few brief comments on our various strategic initiatives and our corporate finance strategy. And then I'll conclude with an outlook for the business. Let me begin with the two long standing strategic initiatives. Pleased to say that we've recently cleared regulatory hurdles on both Niska Gas Storage and Asciano. We complete the acquisition of Niska in July along with our institutional partners deploying a total of $440 million of capital of which our share was $180 million. Niska is well located storage facilities in key producing and consuming region including the AECO hub in Alberta and the Wild Goose facility in California. With this acquisition, we doubled our gas storage capacity to about 600 billion cubic feet and are now one of the largest independent owners and operators of natural gas storage in North America. We acquired this portfolio of gas storage facilities well below replacement cost which should allow us to earn attractive returns over the longer term. As you may have heard we mentioned on earlier calls and probably many earlier calls, we entered into a partnership agreement with an Australian ports operator, and other institutional investors, to acquire Asciano, a leading Australian port and rail logistics business for A$12 billion. Our Brookfield consortium will own a 50% stake in Asciano’s container terminal business known as Patrick Terminals, and a 100% interest in a ports services operation. Patrick Terminals is one of the leading container terminal operations in Australia with the capacity to handle 3.9 million TEUs annually and has two fully-automated facilities in Brisbane and Sydney that have industry-leading performance. Brookfield Infrastructure will invest approximately $350 million and the transaction is expected to close in August 19. During the quarter we also closed on $130 million investments that will expand our transport business. Along with institutional partners we acquired a 57% stake in Rutas de Lima, a portfolio of urban toll roads in Peru for the total value of $430 million and as I said earlier our share of that was $130 million. Rutas is comprised of three road segments totaling 115 km, and these roads are key arteries within the Lima road network serving as the main access to the city from the north, south and east. The Peruvian economy which is one of the most robust in Latin America has experienced strong GDP growth leading to 12% compounded growth in this business in the past decade. The roads operate under favorable, long-term 30-year concessions and generate stable cash flows under a fixed tariff regime, escalated annually by inflation. As Lima has experienced significant growth in recent years but it had low urban investments, we have identified further expansion projects that would provide accretive returns. We are enthusiastic about this transaction because it will further expand our South American total portfolio and establish an operating presence in Peru. In addition, we are also advancing several new opportunities where we will deploy approximately $700 million to immediately grow our utilities and transport businesses. These investments should deliver after tax returns on equity at the higher end of our target return threshold. Over the past year, we have been evaluating a number of exceptional opportunities across various sectors in Brazil. While the country is experiencing political turmoil and a severe economic downturn, business economy was significant growth potential, solid underlying fundamentals and a strong democratic region that is well positioned for good recovery in the medium term. Brookfield has been in Brazil for over 100 years and we have successful record of investing counter cyclically. So while investors sentiments has generally been negative on the country, we are taking a concerned view and investing in high quality franchises that now appears would not be available at a reasonable value. Our books in recent months has been on gas and electricity transmission asset as these are low risk utility businesses underpin with availability based revenue framework and full inflation indexation. In that regard, we are in exclusive discussions to acquire a natural gas transmission company in Southern Brazil from Petrobras. These are long-life natural gas pipelines that are well located and represent the sole infrastructure that brings natural gas to the core economic regions in the highly populated states of Sao Paulo, Rio de Janeiro and Minas Gerais in south-central Brazil. This business is 100% contracted under long-term ship-or-pay agreements. We expect to invest a minimum of $700 million into a Brookfield-led consortium alongside other institutional partners’ capital. We are also excited to reenter the country's electricity transmission sector for the third time. Given our positive experience from 2006 to 2009 and prior to that as one of the early investors in establishing many electricity concessions in the country many years ago. We were recently awarded a portfolio of greenfield transmission lines and are now in discussions with several sellers to acquire operating assets with a view to establish a business with substantial scale in the country. These are long-life, 30-year concession assets that earn cash flows under a stable, availability-based regulatory framework. With approximately 2,800 km of greenfield projects underway in Brazil and over 10,000 km of transmission lines in Chile, we are an industry leader in the South American transmission sector. We expect to deploy approximately $200 million over the next several years to complete these electricity transmission projects. Before I close my remarks with an outlook on our business, I'll make a few comments on our corporate finance initiatives. For the past several years we've been highlighting our strategy around capital recycling. We do the sale of our matured assets as a very low cost source of financing to grow our business on accretive business and an effective way to increase return to unitholders by avoiding dilution on high growth businesses. Over the past several years, we've successfully monetize eight investments for proceeds that exceeded $2 billion generating returns on equity that are greater than 25%. The next phase of our capital recycling plan is well underway. In the second quarter we received approximately $135 million from the sale of our European gas distribution business. In the second half of 2016, we expect to close a sale of our Ontario transmission business and dispose of our investments and shares of Asciano that we acquired on market in 2015. In aggregate, this would generate further cash proceeds of $1.1 billion. And these proceeds will be used to fund our $350 million investment in Asciano port business and the balance representing about $700 million will be invested into our Brazilian gas and electricity transmission investments. We are already preparing for our next capital recycling initiatives and with the maturing profile the number of our companies we expect to generate proceeds from asset sales of $500 million to $1 billion on annual basis for at least the next three years. Now turning to our outlook. Overall, our FFO momentum going into 2017 looks strong. Our current cash flow run rate is solid and we can look forward to FFO grow from a number of areas. First, we've the continuation of robust same store growth as average 11% over the past two years, which we further augmented by the commission of a large portion of our capital backlog. Second, we've the addition of FFO commencing in the second quarter from the closing of our $660 million of investment in Australian port, the Peruvian toll roads and North American gas storage assets. And third, we have the addition of substantial FFO from the regulated transmission assets in Brazil which we are optimistic that we can sign and close by year end or by first quarter of 2017. On the acquisition front, we've not seen this level of proprietary deal flow in years. We are pleased with the numerous high quality opportunities we have to expand our various operating groups. In light of our favorable operating outlook and the positive investment environment, we believe we are well positioned for a longer period of a well performance. And with that I'll turn the call back over to the operator to open the lines for questions.
Operator: [Operator Instructions] The first question comes from Frederic Bastien with Raymond James. Please go ahead.
Frederic Bastien: Good morning. Sam you sound quite comfortable that you can push this Petrobras deal pass to go line. What makes you so comfortable and confident?
Sam Pollock: Hi, Frederic. Look, obviously I can't comment specifically on the stage where we are at in negotiations but it's pretty common knowledge that we've been in discussion with them for probably six months. And we had exclusive before the past close to three months. So these are fairly advance discussions and I just feel that we've fairly good level of confidence that we can get across the line.
Frederic Bastien: Okay. Now during maybe turning this next question to Bahir. During the first quarter you loosely quantify the impact of both the rate we set and the extended tariff release would have on your Australian operations? Are you still comfortable with these estimates?
Bahir Manios: Hey, Frederic. Yes, those are still pretty good levels going forward.
Frederic Bastien: Okay. And just another one on the NGPL business. After your additional investments in the compression facilities that you expect to have completed by year end. Would you reckon your FFO run rate will be on NGPL?
Bahir Manios: So I think this quarter's run rate is a good one ex expansion project that's coming online in the fourth quarter. So if you use that as the base and then add to it probably about $3 million to $4 million relating to that project, I think that would be a good run rate going forward until we bring online a number of other projects that we are working on.
Frederic Bastien: Okay. Understood. And I do have one last one. There have been reports suggesting that Brookfield has been considering new investments in India. Do these involve Brookfield Infrastructure at all?
Sam Pollock: Frederic, it's Sam here. As I mentioned on sort of low to comment specifically on transactions. I know there was an article on a transaction with the State Bank of India and that one doesn't relate to us. That's a private equity transaction in relation to I think some distress loans. But otherwise there are a number of initiatives that we are looking in the country. And I just can't comment on them right now.
Frederic Bastien: Okay but generally speaking I mean how is -- what's your view on India? You do have very strong views on specific countries and how does India stack within that?
Sam Pollock: Yes. I actually just got back from India a couple of weeks ago. And with the country that -- we as an organization have been in probably for about six years now. We approach the country quite cautiously for the first couple of years. We thought it was a bit I guess exuberant and the enthusiasm and I guess given it was a new market for us we want to be cautious. So I think our approach at that time was wise. And then going back probably about two or three years ago our real estate group made a couple investments and we got to know the market better and we formulate a strategy of investing in the country as operators and generally as 100% owners of asset, which is probably quite different than how lot of other people would have done in the past. We think it is a much better way to run businesses in that country and not be depended on local promoters. And so last year I guess we secured a transaction with government which we closed on earlier this year. It's a relatively modest investment in toll road. But that was a factor that we like because of a regulator that was very welcoming to foreign capital and their asset we think require capital and people are appreciative of the quality of roads that private operators provide in the country. So it has lot of same dynamics as what we've seen in South America. And I'd say generally I think the country is slowly improving. And I think with the new government that's in place, they are very welcoming of foreign capital and have market oriented policies. I guess that generally I realize it probably not be expected but I generally say it's a positive place to do business these days.
Operator: The next question comes from Cherilyn Radbourne with TD Securities. Please go ahead.
Cherilyn Radbourne: Thanks very much and good morning. I wanted to ask a question on NGPL first. And you got very impressive existing backlog of projects in that business. But you also mentioned some opportunities at connectivity into Mexico. So I was just hoping you could give us a bit more color on the scale of those potential projects and just confirm those who are not in the current backlog?
Sam Pollock: Hi, Cherilyn, it is Sam here. And maybe I'll start and Bahir can jump in if he wants to add anything. So to answer your second question first there are no projects in our backlog today that relate to initiatives going into Mexico. But it is a region where and I think we might have mentioned this on earlier call that the amount of gas going into Mexico continues to increase. And I think we are expecting anywhere between increased demand of 2 bcf to 3 bcf per day going in there probably in a next couple of years by 2020. So I think we see substantial growth. There has been a number of projects that both CSE and Tamex have started to build infrastructure to facilitate that demand growth into Mexico and so our business through NGPL. And also through our gas storage facility we have in Texas as well, are looking for connections from the various headers that we have to see if we can take advantage of new projects to deliver gas in that market. So it's a little bit of early days. I'd say this is one of the new developments that are underway. There is definitely -- it's not one that I think it's a matter of it but just a matter when and we are just encouraging our teams to make sure that they are closely following it and taking advantage of the opportunities.
Cherilyn Radbourne: Great. And then just in terms of brexit, the markets have rebounded pretty nicely from the initial shock as you noted. What's your sense of how investors are reacting? Like do you expect them to pull back for a while or the level of appetite pretty much the same as it was before?
Sam Pollock: So it's probably little early to make a definitive call on the direction of people's views. What we have seen is that a number of transactions that people were preparing for prior to brexit and that they were just waiting for the vote to take place before they launch them have been deferred or shelved for the time being. So there is a probably fewer transactions in the market today than what we would have expected six months ago. And so because of the limited supply that that's probably help balance the investment market a bit. In my discussions with a number of institutional investors, I think some of them are looking to get feedback from their investment committees as to whether or not their investments stances have changed. So I'd say that will probably take for those large institutional investors probably six months to year before they formulate their views. But having said that, I think generally most of them still see the UK as a good place to do business for all the reasons that Bahir announced here earlier. So I guess our view and I think where most people will end up is that the UK will find a way through this in a reasonable manner with EU and that investment activity on long term basis will probably maintain in that part of the world.
Operator: The next question comes from Rupert Merer with National Bank. Please go ahead.
Rupert Merer: Hi. Good morning, everyone. You mentioned that the returns from your recent investments or investments that are coming up are at the high end of your return targets 12% to 15%. If I look at Niska, Asciano and the Peruvian toll roads, are the returns on those investments all in that range? Can you give us a little more color on the FFO impact we can anticipate in the near term from those investments?
Bahir Manios: Hey, Rupert. It is Bahir. I'll start and maybe Sam jumps into. I would say from an IRR perspective the three investments that you noted would all be in the target of the 12% to 15% range biased to the upper end of that range. And then as far as the going in FFO yield, we would expect Niska and Rutas at least to be at the higher end -- sorry would be high single digits FFO yield going in and then ramping up over the short to medium term to get into that range that I noted. And as far as the Patrick Terminals or the ports business of Asciano, we would expected to be low double digit going in from an FFO yield and then ramping up over time as well.
Rupert Merer: Okay, excellent, thank you. And you also mentioned your deal flow is very strong right now and of course we have a strong liquidity position and Brookfield recently closed its private equity fund. Can you give more color on the importance and the advantages to the public entity Brookfield Infrastructure have co-investing with these private equity funds and of other potential say differences between the returns that you might see versus your private equity partners?
Sam Pollock: Thanks, Rupert. Look, it's I think it's a critical element of our strategy and our capabilities. What is it allows us to do is particularly for larger transactions be able to very quickly and confidently pull together the capital to close on these deals and that the two I guess great examples from our business would be both Asciano and this Petrobras transaction which we hoped to get done. These are our transactions that face modest amount of competition. And if it wasn't for the fact that we had this additional fire powers if you want call it from our partners to move quickly and take advantage of them. We probably couldn't get them done. And we think as a result we are getting unbelievably high quality assets and we are getting them at attractive returns. And it allows us to kind of avoid some of those what we describe as those mid market cost to capital shoot out which you read lot about in the papers particularly in Europe where you just don't see attractive returns. And so I think that's just a great advantage and I think there is a cycling I'd say the fact that we are able to secure all that committed capital from institutional investors in a very short timeframe of about nine months and for the broad mandate that we were looking for. Just reinforces the fact that we've got a great track record and lot of sophisticated investors who support the investment strategy. So, all-in-all I'd say we are really pleased with how that went.
Rupert Merer: Great. And in the past you talked about the difference between valuation in public and private market and infrastructure. Is there a different hurdle rate between your private equity funds and the public funds?
Sam Pollock: No. It's same investment. So we don't -- there is no difference in the investments that we are pursuing. What we -- as I think you know we look to acquire assets in Brookfield Infrastructure participate in those purchases so they are effectively the same return. I think maybe the question you were alluding to is just that differentiation between valuations of public traded companies versus the private market. And I would say that discrepancy still does exit. They are particularly in European and some North American sectors, not all North American sectors but some, where you will - you have the private market bidding at a much higher levels than what we think we can privatize some public companies at. So we continue to monitor the public landscape for opportunities. They are not easy transactions to execute. But that's still part of our investment strategy.
Operator: The next question comes from Robert Kwan with RBC Capital Markets. Please go ahead.
Robert Kwan: Good morning. If I can just maybe start on follow on the private funds line of questioning. Is the plan with new fund the same with respect 40% participation and kind of we are call normal deals and then larger deals maybe open to different structures?
Sam Pollock: Hi, Robert. Sam here. It's exact same structure although this time it's approximately 30% not 40% just given the scale of fund. But similar to prior funds to extent there is larger transaction than the public company will participate and co-invest and take up additional portion of the deal.
Robert Kwan: Okay. And just with capital commitments from or just kind of the make up of the group, obviously I am sure you don't want to get on your specific investors but are there a number of capital commitments from investors from previous funds? I guess what I am getting at is how comfortable are you with the willingness of the parties and the new fund to write additional direct co-invest checks that have been held following some of the acquisitions that you have done to date.
Sam Pollock: I'd say very, very comfortable because that's exact what they are looking for. In fact, many of these groups and we have probably some of the largest, most sophisticated investors that are out there in infrastructure and they are looking to participate in transactions along side of this and want that additional co-investment. So that definitely is not a concern at all.
Robert Kwan: Okay. And then just turn it to capital recycling and future asset sales and some of the guidance you've given those processes tend to take time. Are there any new processes that are underway and with respect to kind of your contemplated structure, are you thinking about selling assets outright or should we also think about the potential of selling down a percentage interest in some of your assets you may still retain control but maybe just sell down percentage ownership?
Bahir Manios: It's a good question. To answer your first question, the answer is no. There is no process that I could comment today that has been started. But we are internally preparing for a number of them. And I think our strategy as far as recycling assets could entail both approaches that you mentioned. Some of them could be businesses that we might outright sell. Others could just be sale down of a percentage of the business where we would just maintain control. So I think it'll be balanced, the one thing that's again I'll turn out I gone too long but since you sort of got me going here, the one part of the market that's very interesting which I am quite excited about is the fact that there is just a huge market today for minority stakes in infrastructure. And there is no discount when you go to sell these minority stakes. What these investors want is good, strong minority protections but they are happy to invest alongside, people like ourselves so they have a lot of comfort in operating the assets. And so that dynamic has just given us so many opportunities to consider in how we recycle capital. So it's a great dynamic and I think one that will help us mature we get highest value for assets but also maintain our presence in businesses to extent that what we are trying to chase.
Robert Kwan: Understood. And if maybe I can just on NGPL. Bahir you had mention around the run rate for the quarter being a good one with the addition of the compression expansion. Has the way of contracted the pipeline taking the seasonality then out of the system?
Bahir Manios: I don't know Robert, maybe I can follow up offline because maybe I am thinking about the annual to your point, annual run rate so let me follow up offline how the seasonally will work going forward with the context.
Robert Kwan: Okay. And then just the last thing compression expansion typically have quite high returns and it sounds like based on what you have Bahir that seems to be the case here. I just wanted to confirm with the new amount of contracting looks like or at higher rates plus these higher return expansions, are there any issues as you calculate your earned ROE or are you good given you had a pretty recent section 5?
Sam Pollock: Yes. I'll touch on that one. I think that given what happened a number of years ago, it's obviously an issue that we watch very closely with kinder. And I think that with the amount of capital that we are deploying and the run rate EBITDA that we will be generating in 2017, 2022 I think we feel about we are into a comfortable level and that today there is no requirement for us to do any more section 4 I think it's called application. So I think we are in good shape. Obviously, we are always at the whim of the review of the regulators and their views but I think we feel that we are in good shape.
Operator: The next question comes from Bert Powell with BMO. Please go ahead.
Bert Powell: Thanks. Sorry I am jumping on the call little here so hope I am not tilling ground that's already been tilled. There is couple of questions. One, Sam or Bahir, the relief for iron ore in Australia that was a bit of headwind in the quarter. Was that really because we had a different iron ore at the beginning and it kind of went down below 50s now come back up -- my understanding from the way that works is you kind of get close to 60, there is no relief below you do because -- is that -- my understanding how that working correctly?
Bahir Manios: Yes. Bert it's tiered structure and just simplistically here is that you are absolutely right. There was a dip and that caused us to accrue an amount for the quarter. We've seen iron ore prices since than recover a little bit, so if they hold at these rates that relief will be hopefully smaller in the third or fourth quarter, but again it's all depended on the price. But your point it was the dip that created that release amount.
Bahir Manios: I'd just add one thing to what Bahir said is that there is also an exchange rate component so our release is calculated in Australian dollars and so it also depends on what happens with the US, Australian FX rate.
Bert Powell: Okay, that's great. Thanks. And the volumes that drove VLI in the quarter, can you just give a little color in terms of what was going on there?
Bahir Manios: Yes. VLI, Bert we hear again, VLI had a great quarter. We saw revenues they are probably I think if I recall correctly about 15% and driven again same seen by agree volume increases that we saw as well as tariff increases. So nice mix of both that created for strong revenue growth year-over-year. And with some good cost containment as well we have our EBITDA saw big increase year-over-year.
Operator: There are no more questions at this time. I'd now hand the call back over to Mr. Pollock for closing comments.
Sam Pollock: Great. Thank you, operator. And thank you to everyone who joined us for today's call. We look forward to reporting our progress to you next quarter.
Operator: This concludes today's conference call. You may disconnect your line. Thank you for your participation. And have a pleasant day.